Operator: Good afternoon, everyone. Thank you for participating in today's conference call to discuss Jones Soda financial results for the second quarter ended June 30, 2023.  Before we begin, let me remind everyone of the company's safe harbor disclaimer. Certain portions of our comments today will concern future expectations, plans and prospects of the company that constitute forward-looking statements for purpose of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, predicts, will, may, continue, projects or targets and negatives of these words and similar words or expressions.  Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements. Factors that could affect our actual results include, among others, those that are discussed under the heading Risk Factors in our most recently filed reports with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q and our current reports on Form 8-K. In addition, this call includes discussions of certain non-GAAP financial measures, including adjusted EBITDA.  The most directly comparable GAAP measures and reconciliations for our non-GAAP measures are available in the earnings release and other documents posted on the company's website under Investor Relations. I would like to remind everyone also that this call will be available for replay through August 16, starting at 7:30 p.m. Eastern tonight. A webcast replay will also be available via the link provided in today's press release as well as on the company's website.  Now I would like to turn the call over to the President and CEO of Jones Soda, David Knight. 
David Knight : Thank you, operator, and thank you, everyone, for tuning in. You have a new voice at Jones Soda today and hope you can understand my Australian accent. It is a very exciting time for me to be joining Jones Soda as the new President and CEO. I believe my 38 years of CPG experience, with 28 years at PepsiCo, Quaker Oats and snack foods and functional beverages such as Gatorade, with more recent roles in the alcoholic beverage space as well as the fast-growing cannabis and hemp beverage categories with brands such as James & James and Cheech and Chong should serve me well to lead Jones Soda into the next phase of growth.  With the vast array of experience from working for both some of the largest established brands in the industry, the nimble start-ups with innovative new offerings, I believe my successful track record will enable me to unlock more potential from the Jones Soda team as we plan to continue capitalizing on our brand power while also bringing new innovations to our product portfolio. Before we go any further, I would like to thank Mark Murray for his accomplishments over the past three years. Mark spearheaded the company's return to revenue growth and margin improvement and was instrumental in launching the company's new cannabis business entry, Mary Jones.  Through Mark's leadership, Jones Soda currently has a strong foundation, which I'm excited about the opportunity to build on. Although I have only been at Jones Soda for less than 2 months, I have so far been very impressed by the people and processes in place. I can confidently tell you the people that make up our organization are nimble, ambitious and willing to do whatever it takes to ensure that we successfully grow our brand and ultimately deliver value to our shareholders. There is an infectious appetite for success throughout the organization, and I can't wait to see what we will accomplish together.  My two key areas of focus going forward are delivering great taste and growth through innovation and marketing. With that, I'd like to give you a brief recap of the quarter. Overall, I'm generally pleased with the performance of Jones Soda in Q2. Although it was a difficult revenue comparison over the prior year, we still managed to meet our internal expectations and continue to improve our gross margin and bottom line. What's even more promising is our team has been hard at work with a number of key initiatives with key accounts in order to hopefully put us in a better position to increase sales velocity and drive a stronger revenue performance in the back half of the year.  Through an effective pricing strategy along with proactively improving cost of goods by better managing our raw material costs, we were able to expand our gross margin by another 440 basis points year-over-year and are achieving our three-year goal of delivering an approximate 35% gross margin for our core bottled soda products. In context, that is up 1,300 basis points from a low of 22% gross profit margin in 2020. While our entire product portfolio isn't quite at 35% margin yet, that is what we are striving for, and we are starting to see these targets being hit.  We believe the organization is set up nicely to see continuing financial improvement to close out 2023, which I believe will give us a solid base on which to further build our momentum with potential growth opportunities planned across all brands and channels. Thank you, Mark and the Jones team, job well done.  Before I go into greater detail on these initiatives and the progress we're making across our organization, I'd like to pass the call over to Joe to discuss our second quarter financial results in greater detail. Joe? 
Joe Culp : Thank you, David, and good afternoon, everyone. Net revenue in the second quarter was $4.8 million compared to $6 million in the second quarter of 2022. The decrease was due to strong sales revenue performance in the first half of 2022, primarily as a result of an inventory stocking event from one of Jones' largest retailers. The decrease in net revenue was partially offset by the continued expansion of our cannabis brand which generated approximately $400,000 in revenue during the second quarter of 2023 compared to no revenue generated in the second quarter of 2022. Gross profit as a percentage of revenue increased 440 basis points to 32.4% compared to 28% in the prior year period. The increase was primarily due to proactive pricing adjustments as well as our operations team working hard to find ways to lower freight costs and raw material costs.  Operating expenses in the second quarter improved to $2.3 million compared to $2.8 million in the same year ago quarter. The decrease was due to our lower marketing and G&A costs, mostly as a result of less general business start-up costs associated with the development of our Mary Jones brand in the second quarter of 2023 and compared to the same quarter of 2022. Net loss in the second quarter improved to $1 million or negative $0.01 per share, compared to a net loss of $1.4 million or negative $0.02 per share for the same quarter of 2022.  Adjusted EBITDA in the second quarter improved to negative $729,000 compared to a negative $1.1 million in the year ago quarter. The improvement to our bottom line was primarily driven by the aforementioned expansion in gross profit margin and decreased in total operating expenses.  Now moving on to the balance sheet. As of June 30, 2023, cash and cash equivalents were $5.1 million compared to $8 million at December 31, 2022. Working capital was $9.7 million at June 30, 2023, compared to $11.6 million on December 31, 2022.  Now I'll turn the call back over to David, who will provide further insights into various growth initiatives we have planned and overall progress being made throughout the organization.  David, back to you. 
David Knight : Thanks, Joe. Let's jump back into it, starting with our sales performance. Overall, we continue to make progress in our core bottled soda business. As I mentioned earlier, we knew that the second quarter was going to be a difficult year-over-year comparison. But we've made some important adjustments with several important key accounts, which I believe set us up for sustained success through the back half of 2023 and beyond. Our team has also been diligently monitoring the broader consumer environment, and we've been able to maintain current pricing across all channels. In that same vein, as Mark discussed at length on our call last quarter, our sales force was hard at work, ensuring we replaced our multipacks with singles across all our major customers.  Responding appropriately to the change in post-pandemic consumer spending habits as shopping behaviors change with current macroeconomic and inflationary pressures. I'm pleased to report that we have worked through this transition that affected the whole category. We expect an increase in sales velocity with these products for the remainder of the year. While we are constantly evaluating sales tactics, to ensure our products are getting into the hands of consumers in the most effective way, we believe single bottles provide our customers with a more affordable and cost-effective option to enjoy our products.  Additionally, at Kroger, the introduction of Jones' root beer a permanent fixture in our specialty sets has been positive. As the top flavor across all CSDs and the #1 overall flavor in the specialty category, we believe our presence in this space is important to our overall growth strategy. And by the way, our Jones Soda root beer just tastes great. Beyond Kroger, we continue to experience success through our expansion initiatives with current accounts. We're also continuing to see growing success with the dollar store channel as we believe our partnership with Dollar Tree validates the idea that we can thrive in this important space.  We continue to pursue new opportunities in this channel, and we expect to share exciting news with additional retail partnerships in the very near future. On the topic of new accounts, we continue to roll out our products at SpartanNash, where we are already seeing early indications of success. Stores were reset by our Jones Soda DSD partners during Q2, and with promotional plans put in place for the third quarter to drive brand awareness, trial and sales.  Our participation at the recent SpartanNash national trade show allowed us the opportunity to further leverage this relationship with our securement of Amazon Fresh through SpartanNash's robust distribution and service network. As you may recall, we also launched in Wakefern last quarter with five items in their delis and conventional grocery departments. Although it's still early in this relationship, we are working with the independent store owners to continue gaining placements during the third quarter. We intend to implement our first promotion in August to drive brand awareness, trial and sales.  Lastly, I'm proud to announce that we secured a relationship with Ace Hardware coming out of our recently attended national trade show. We are in the process of setting up 6 items in the Ace system that we expect to start selling during Q4 2023. Ace has 5,600 locally owned hardware stores in all 50 states. So this new relationship represents a significant new opportunity to put a cold Jones Soda in reach of our target consumer. We also plan to attend the Ace National Convention in September to further drive the performance of this new opportunity. This is a testament to the thought leadership of our team that has demonstrated to qualify incremental opportunities in alternative channels and continue to diversify and grow and strengthen our business.  We expect more new partnerships to come out of this strategic approach. Looking beyond our retail channel, we're also making progress expanding into food service. Led by a newly hired incremental resource solely focused on supporting this space, we have already begun securing incremental business since we announced the addition of this new high last quarter. Through pre-existing relationships with several large restaurant chains, discussions have been initiated to explore the idea of introducing the Jones Soda brand to new customers in new spaces. As a reminder, the food service channel has long sales cycles, where it can take years to secure new business. That being said, we have successfully launched into a number of small regional chains and are reporting steady sales progress with both, bottled and fountain products.  We believe we have the right person in place and are confident in our strategy to significantly expand our presence within this channel. We are also innovating in this channel and currently anticipate testing some exciting initiatives this quarter that I'm hoping to be able to share on the next earnings call, so watch this space.  Now let's turn our focus to our marketing efforts. In June we launched our PRIDE campaign with our collection of PRIDE labels, created by LGBTQ artists. Because of the sincere and like-minded engagement we have with our fans, our campaign was overwhelmingly well received by our customers. Despite the concerns raised over the negative backlash other beverage companies faced after launching their LGBTQ focused campaigns.  We believe that this positive reception demonstrates both the power of our brand and the values our consumers hold. I believe it is also a testament to how well we are connected to our consumer base and actually understand what is important to them. In June we also launched our first ever PUCKER PUNCH Game Pack which includes 12 berry lemonades with three very sour variants mixed among the bottles. The only way to identify the extra sour bottles is by testing them. Since the launch, these packs have proven to be perfect for parties and are driving strong social media engagement with videos of customers testing the extra sour flavors. An influencer was using PUCKER PUNCH Packs pranked their friends, including Sour King Drew with 3.6 million subscribers on YouTube who sent in his sour face photo in response to our Instagram challenge and is now featured on one of our bottles, yet another testament to all the interesting people who follow us and like to partner with the Jones brand.  Subsequent to the quarter end, we also announced a groundbreaking advancement in our augmented reality programs with a proprietary new platform developed for Jones Soda by an award-winning creative agency August Allen. This improves upon our real labels program that we first launched in 2021, bringing a faster, more seamless user experience that leverages mobile AI instead of app-based technology. It also features the ability to take the AR experience beyond the bottle into media, merchandise and point of sale. Featuring a fully custom-designed administrative dashboard, we can now build, manage and change AR projects in campaigns completely in-house. This flexibility enables the team to respond faster to shifts in culture, along with customer and fan feedback.  In fact, our AR campaigns have been so successful that we plan to launch similar AR labels within the cannabis-infused category. Not only is this initiative a testament to our innovative strategies they result in strong user engagement, but it's a great example of the benefits we can capitalize on by bringing the bulk of our marketing efforts in-house. This has been a big effort from our internal team to move away from outsourced agency, but it's proving to be an effective strategy. With more marketing dollars actually going to work rather than paying agency fees, we've seen a significant uptick in performance across all our paid media, and our overall marketing platform has improved significantly.  With these changes, the marketing team has been able to effectively double working media dollars, elevate impressions and optimize our platform mix, including shifting more dollars from Meta to TikTok as we follow the trends of our creators and consumers.  Now shifting our focus to operations. I'm proud to see the progress our team has made to expand gross profit margins and become more efficient with operating expenses. As we previously mentioned, our margin has expanded notably over the past few quarters. Our cost of goods has been more predictable than we had originally forecasted, and we have done well managing our raw material and freight costs.  Within our three-year turnaround plan, the long-term goal was to put this organization in a place where it could consistently deliver on a 35% gross margin for our core bottled soda products. I'm proud to report that we are achieving this objective sooner than expected, and we are hopeful to be able to continue to grow our profit margin throughout the rest of the year and to be in a position to sustain that level going forward. Our SG&A is also lower in Q2 2023 compared to Q2 2022, mostly due to expenses associated with building the foundation from Mary Jones, including high-cost legal efforts to navigate each state's regulatory environment, which cut into our bottom line in 2022.  While we continue to anticipate costs associated with Mary Jones expanding into new states and product categories, along with growth initiatives for our core bottled soda business, we believe most of the initial front-loading work regarding Mary Jones has been done. We are confident that we are in a good position to be able to drive closer to profitability and better capture the margin expansion.  On the topic of Mary Jones, let's turn to our new cannabis business. It's very exciting to see continued momentum with Mary Jones, doubling in revenue from approximately $200,000 in Q1 to approximately $400,000 in Q2. Mary Jones is on shelves and in refrigerators in more than 375 dispensaries throughout California. And according to Headset data, it is the top-selling brand in our categories, 10-milligram carbonated soda in 100-milligram carbonated soda. Our launch of cola and MF Grape flavors was met with both, industry and consumer love. Appraising the flavors has been comparable to the mainline non-infused counterparts.  Lastly, we're very proud that Mary Jones won two gold medals in the High Spirits Awards. One for our 100-milligram root beer and one for our 10-milligram berry lemonade, which was crowned as the Best in Show for cannabis sodas, a testament to our great flavor, brand equity and our mission to be the best tasting beverage in every category that we compete in. We've also made progress with our category expansion as we are in the process of launching edibles throughout California due in October and plan to have both, gummies and fizzytabs, in multiple markets by the end of the year.  Despite dealing with the compliance hurdles that come with the cannabis industry, we remain on track to be 100% operational in three additional states. Washington will be launched by the end of August, Michigan in September and Nevada by the end of October. Each market is expected to feature the same core full flavors from Jones Soda that have been performing so well for the last year in California, along with additional flavors being introduced throughout 2024. Both edible formats are delicious offerings that bring the bold flavors of Jones Soda into these high-volume cannabis categories. The fizzy tabs feature a micro-dose per tablet at 2.5 milligrams, giving consumers a lot of control in their dose as well as the opportunity to enjoy as much as they wish. These tablets taste like our sodas, fizz in your mouth and come in a child-resistant portable resealable pin. We're also making significant progress with international expansion to this segment. While I have more news to come on that front soon, I'm incredibly excited about where we expect our footprint to be entering into in 2024.  Our Mary Jones business has come a long way in a short amount of time. And we've only begun to scratch the surface. We see immense upside potential. And as we get better and more efficient in our ability to expand, we believe this business can be a meaningful growth driver for the company going forward.  So in summary, there's a new sheriff in town with deep beverage experience on a global scale, across functional beverages, alcoholic beverages as well as cannabis and hemp beverages. I'm very excited to be here and see amazing growth potential for both the Jones Soda and Mary Jones brands. Mark and the team have achieved a great business turnaround, doubling revenue in three years and improving our margin over 1,000 basis points from 22% to 32% margins. We have endured the four-pack category’s reach from one of our major retailers and are rebounding and have successfully taken pricing across all channels in line with the industry. Our innovation pipeline continues to grow with some very exciting plans and product news on both, Jones Soda and Mary Jones.  We have invested in the start-up of Mary Jones with the majority of the costs behind us and have started racking up gold medals and best in show for cannabis sodas as we expand into new geographies, channels and products. Overall, it's an exciting time for Jones Soda, and I'm very eager to lead the company through this next chapter of growth. I firmly believe we have the right people, the right strategy and the right vision to unlock Jones Soda's full potential and scale the business to new heights.  With that, I'll pass the call over to Joe as we have some questions sent in ahead of time that I'm happy to answer. 
A - Joe Culp : Yes. Thank you, David. Yes. So before wrapping up the call, David and I would like to address some of the questions that we've received from the investors via e-mail over the past few weeks. We have selected what we believe to be the most important and relevant questions to answer. So starting with the first question, as you continue to ramp up your growth initiatives, how should we think about this from a cost perspective? Do you have the capital necessary to support these efforts? 
David Knight : Growth is the most important initiative that we are currently striving for as a company. And we are concentrating on growth initiatives that we can deliver while not compiling unnecessary spend. So far in 2023, we have reduced our cost compared to 2022. And we'll continue to carefully manage all expenses. As of today, we believe we are in a good position with cash as we enter the back half of 2023. But we are constantly evaluating and balancing growth plans with working capital resources. We are now in our planning phase for 2024, and we'll have more news for our next earnings call. So stand by. 
Joe Culp : All right. Question number two, if inflationary pressures continue to persist in the macro environment, what impact do you foresee that having on your pricing strategy and overall margin profile? 
David Knight : This is a really important question that we evaluate constantly as we know there is pressure on consumers' discretionary income to force them to make choices. And we know that craft soda does not typically fall into the necessity buckets. So it is important for us to look at how these macroeconomic factors impact our business moving forward. We meet with our key customers every month to discuss the prior four weeks' volume. In Q3 of last year, we started to see a velocity slowing down at the store level across all beverages. Overall, the organization was still showing very good growth, because we were adding new customers and new points of distribution to offset the impact of lower velocities at certain retailers.  Although the decrease was not across the board, it is fair to say there was an inflationary impact. And at the end of the year, our revenue at some of our key retailers was up, but our units were down. Although we believe we were still outpacing the category, we needed to get very strategic and aggressive with our promotional activity to maintain velocity and protect share. As we moved into 2023, volume relative to units were still soft. This goes back to a comment I made earlier in the prepared remarks. We will monitor volumes at the customer level and make sure we are strategically spending on marketing and promotion programs to drive velocity and awareness. We are very engaged with our key customers and are prepared to do what it takes to keep the business growing. 
Joe Culp : Great. Question three. In terms of profitability, do you have a rough timeline as to when we should expect the company to reach breakeven? 
David Knight : As a company, we set aggressive but realistic targets. As we concentrate on growth while managing costs, we believe we are setting ourselves up to have profitable quarters in the next year and hope to sustain long-term profitability shortly after that as our growth initiatives start to land. 
Joe Culp : All right. Question four. David, in your short time as new CEO, are there any significant organizational changes that you anticipate will need to be made to accomplish the growth plans you've laid out? Also, what have been the biggest surprises, good or bad, in your first few months? 
David Knight : Firstly, no real surprises, but in my short time at Jones, the biggest realization for me is that I've joined a team that is extremely passionate about this brand with deep experience in the category. We are in a pretty exciting time here at Jones with key growth areas gaining momentum. My focus will be on taste and growth and delivering innovation on both, our core Jones Soda business as well as Mary Jones. Our rally cry moving forward is keep up with Jones as we set a new pace in craft sodas and beyond. 
Joe Culp : Great. And last question here. As Mary Jones continues to take market share and become a top brand in the cannabis industry, how long until the business becomes a more meaningful revenue contributor? Do you eventually expect the cannabis business to overtake the core bottled soda business from a sales perspective? 
David Knight : The Mary Jones brand is certainly one that we've been actively expanding to encompass into a wide range of products and simultaneously increase the regional footprint. Every time we add a state or expand the portfolio, the business is 100% incremental from a revenue and profitability perspective. So as you look out over the balance of the year, each month, it gets better, each quarter gets better, and we're excited about the run rates we see through the end of the year.  As we said, it is coming slower than we wanted, but it is coming. And we believe it can be a significant growth initiative, and it will have a major impact on the organization in the future. The long-term goals of Mary Jones are significant, but so are our goals for the core bottled soda business. So we believe that these two categories of business are being set up to grow together in a really exciting way. 
Joe Culp : Thanks, David. This concludes our Q&A session. We'd like to thank everyone for taking the time to listen today. We look forward to speaking with you to report our third quarter results later this year. Thanks again, and have a great day. 
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.